Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Altair Engineering Incorporated Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Dave Simon. Sir, please begin.
Dave Simon: Good afternoon. Welcome, and thank you for attending Altair’s earnings conference call for the second quarter of 2021 ended June 30, 2021. I am Dave Simon, Chief Administrative Officer of Altair, and with me on the call are Jim Scapa, Founder, Chairman, and CEO; and Matt Brown, Chief Financial Officer. After market close today, we issued a press release with details regarding our second quarter performance and guidance for the third quarter and the full year 2021, which can be accessed on the Investor Relations section of our website at investor.altair.com. This call is being recorded and a replay will be available on the IR section of our website following the conclusion of this call. During today’s call, we will make statements related to our business that may be considered forward-looking under federal securities laws. These statements reflect our views only as of today and should not be considered representative of our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlook. These statements are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations. These risks are summarized in the press release that we issued earlier today. For a further discussion of the material risks and other important factors that could affect our actual results, please refer to those contained in our quarterly and annual reports filed with the SEC as well as other documents that we have filed or may file from time-to-time. During the course of today’s call, we will refer to certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our press release. Finally at times in our prepared comments or responses to your questions, we may offer metrics that are incremental to our usual presentation to provide greater insight into the dynamics of our business or our quarterly results. Please be advised that we may or may not continue to provide this additional detail in the future. With that, let me turn the call over to Jim for his prepared remarks. Jim?
Jim Scapa: Thank you, Dave, and welcome to everyone on the call. Altair had a strong second quarter 2021 with across-the-board success in multiple verticals, regions, and products reflecting year-on-year software product revenue growth of 22%. Customers are investing to grow their businesses as we emerge from the pandemic and Altair’s products, services, and business models are clearly resonating in market awareness and increasing market share. We are pleased to report Q2 results with total revenue of $119.9 million, software product revenue for the quarter was $99.6 million versus $81.8 million in Q2 of 2020. Adjusted EBITDA was $9.5 million, compared to $5.7 million in Q2 of 2020, an increase of more than 65% from the second quarter of 2020. All were well above our guidance ranges. The updated Altair Units business model continues to rollout as a win-win for our customers and Altair including in data analytics accounts. Approximately 75% of our simulation customers have thus far converted to the new software bundle choices in line with our expectations. Software product revenue for the first half of 2021 continued a strong positive trend at 85% of total revenue compared to 83% during the first half of 2020. Our recurring software license rate remains high at 90% for the second quarter of 2021 and 92% year-to-date. We held an Investor Day on May 27 and many of the questions were framed around understanding Altair’s growth drivers and opportunities for expansion. This is in fact the combination of verticals, technologies, and regional success. And I would like to spend some time talking about wins from the second quarter related to each. In architecture engineering and construction or the AEC vertical, our second quarter wins included the addition of a new customer logo listed as one of the top 10 global design firms. We continue to build our customer base and aligned with the need for performance-based outcomes in sustainable infrastructure development. Our new logos and expansion in aerospace for the quarter included the addition of a newly spun out airplane manufacturer and a six-figure expansion representing almost a 3x usage increase at an existing client. The automotive sector continues to develop significant opportunities, especially related to electrification, communications, analytics, and computing. The banking, financial services, and insurance or BFSI vertical continues to show strong performance including a steady stream of data analytics customers embracing units based licensing. Our second quarter wins included new logos six-figure deals under units based licensing and some key direct wins against data analytics software competitors. In consumer products, one recent and interesting application involved the food manufacturer leveraging thin film forming simulation. Healthcare saw a number of wins in the second quarter including a new logo win based on developing prosthetics using 3D printing technology and an expansion from an existing medical products customer specifically targeted at data analytics for their engineering applications. In motorsports, we have several expansions and new customers including one agreement to improve safety and performance, leveraging our data science technology and expertise. This aligns with our robust pipeline growth and engineering analytics and is consistent with our vision for the convergence of simulation, HPC and AI. And finally, SimSolid is disrupting the energy market by dramatically reducing design cycle times and displacing traditional simulation performed with competitors products. Our expectations for SimSolid are coming to fruition across many verticals as this product is being adopted broadly across our customer base. Products and technology are the core of Altair’s success, and we continue to invest heavily in research and development. During the second quarter, we built upon the broad and deep product releases of 2020 with the latest versions of our simulation software solutions. All our existing products added significant new features in this release, and we introduced some new products as we continue to evolve our portfolio with the combination of sustaining and disruptive innovation. Altair has invested strategically for several years both organically and by acquisition and build out what we believe is the broadest and deepest portfolio of computational fluid dynamics solutions covering a wide array of applications. With the latest announcements of our healthcare CFD software, we are well-positioned and focus to grow our share in a very large and rapidly growing CFD simulation market. Altair CFD deliver sophisticated technology for fluid and thermal systems modeling, general purpose multi-physics simulation, external aerodynamics, discrete element modeling, and smooth particle hydrodynamics very cost effectively and under a single license. Several of these products have embedded optimization and machine learning algorithms and often work in concert how simulating with other technologies to deliver deep insights and clear design direction for difficult to understand and predict physical behavior. We believe Altair as a leader in manufacturing simulation with a broad portfolio of key products and technologies, many of which have CFD at their core including casting, molding, extrusion, forming, and additive manufacturing. The consideration and integration of manufacturing simulations with design optimization is critical for customers to make key product decisions in this fast-changing market. CFD had some outstanding Q2 successes and applications such as sporting goods, building design, and electric vehicles. The building design win is impressive technically on that our customer will simulate tall buildings in excess of 100 meters to a variety of wind load conditions. The possibilities for this customer to shorten design cycles eliminate expensive wind tunnel testing and improve building safety while making efficient use of materials to improve sustainability are all consistent with the positive trends we see in the ADC vertical. Altair’s electronic systems design tool set as a new thermal management workflow to enhance the design of electronic devices. In addition to the existing Altair SimLab workflows for structural stress, vibration, and drop-test performance, product engineers can now ensure the cooling of printed circuit boards and complete systems prevent overheating, product reliability issues, or expensive late stage redesigns. Smart connected devices increasingly need high-speed memory. Altair PollEx has added signal integrity automation for double data rate memory interfaces enhancing optimization of double data rate timing, transmission lines, topology, and terminations. Other improvements include additional power integrity simulation and the capability to export PCB layers for thermal management analysis. Recent additions of new logos across multiple verticals and regions in electronics and electromagnetics have added seven-figure revenue to Altair’s top line. Applications include electronic systems design, circuit board simulation, antenna placement, radar cross-section, autonomous driving connectivity, and electric drive system development. Altair One is a cloud portal for Altair’s products accessible anywhere via standard workstations, PCs, laptops, and mobile devices. Users can launch applications in the cloud from a single interface with easy access to resources that are on premises or in the cloud. Product teams can increase collaboration by securely uploading, accessing, storing, and managing data using the Altair One Drive. Altair One does not require additional capital expenditures on complex IT and can scale immediately in response to peaks and workload. It also empowers users to provision turnkey scalable appliance clusters across all major cloud providers including AWS, Azure, Oracle Cloud infrastructure, and Google Cloud platform. And finally, Altair enters the high-performance or HPC market when HPC shifted from specialized computers to commodity cluster servers in the early 2000s. In 2003, we spun the PBS team out of NASA. In 2017, we acquired Runtime to focus on the electronics market with specialized solutions for high throughput workflows. In 2020, we acquired Lexus to bring in technology for I/O and storage profiling develop storage scheduling, and we acquired grid engine with its strong position in life science and its top tier technical team. HPC continues to mature as a business and had a strong second quarter for Altair with seven-figure multi-year agreement inked with one of the world’s largest cloud technology companies. Altair’s position in HPC has become increasingly powerful reflected in the growing confidence of our sales team and the robust pipeline of opportunities we see. The strength of Altair has always been our robust regional diversification. Our revenues and people have been distributed very evenly across the Americas, EMEA, and APAC, as well as between countries in these super regions. This is an especially important year in APAC as this is the 20-year anniversary of our founding of Altair China and Altair Korea and the 25th anniversary of Altair Japan’s formation. The Americas and EMEA operations came online earlier making it even more impressive than our APAC organization driving one-third of our software product billings and usage. We invest to support our people and customers globally, and especially as world events are sometimes disruptive we appreciate the focus and teamwork of our colleagues and the collaboration with customers across every time zone. As we look at success stories from the second quarter, the degree of geographic diversity is amazing. Eastern Europe, Southeast Asia, and South America are all strong players within the larger regions of EMEA, APAC, and the Americas. We are truly one off there and believe we are serving our customers with less locational barriers and ever in our history. Over the last few months, we enhanced our organization by adding two new Board members to our Board of Directors, Jim Anderson and Shekar Ayyar. Jim is currently a Managing Director for Google Cloud and has a passion around scaling enterprise-level businesses and building sales channels. Shekar was most recently an executive with VMWare and brings a wealth of consulting, strategy and technical expertise at Altair. We believe they both add outstanding depth and breadth to our Board. Welcome Jim and Shekar. I am deeply appreciative of Yan Hao, Richard Hart, and Brett Chouinard for their time on Altair’s Board. Brett is now in a key technology role for Altair while Yan is fully retired, and Richard is focused on other professional endeavors. The three of them were magnificent sources of support and inspiration through our IPO process in over the last several years. Q2 was strong and we remain cautiously optimistic for the balance of the year. New variants of COVID-19, disappointing vaccination rates in some locations and a generally long process to fully shake off the pandemic globally have the potential of curbing what should otherwise be a vibrant economic environment. However, as our customers invest to drive more innovation into their products and services, we are confident in our ability to be a differentiating asset for them. Now I will turn the call over to Matt to provide more details on our financial performance and our guidance for the third quarter and remainder of 2021. Matt?
Matt Brown: Thank you, Jim, and hello, and welcome to everyone on the call. We’re very excited about our second quarter 2021 results, which set a record for highest revenue and EBITDA for any second quarter in the company’s history. The strong opportunity pipeline and momentum we’ve seen in the last few quarters carried through to Q2 2021, once again generating results above the high end of the range on every metric we guided to for the quarter. Total billings for the quarter were $117.8 million, an increase of 19.1% compared to Q2 2020. As with last quarter, our software billing strength relative to prior year was driven by solid new and expansion opportunities and high retention on our renewal base. Again, we saw broad success across all three geographic regions and across our product offering. I continue to be delighted with the diverse usage and range of applications for our solutions. As Jim highlighted, just this quarter, we saw customers acquiring our software across a wide range of verticals for using anything from building design to healthcare to food design to motorsport and aerospace, and further we saw success in all three core competencies, simulation, HPC, and data analytics. As expected, we saw services and other billings stabilize in the second quarter as we’ve now anniversaried the start of the COVID-19 impact, which began impacting services and other revenue in the second quarter last year. Also, the strength in billings resulted in software product in total revenue exceeding our expectations for the second quarter. Software product revenue was $99.6 million or an increase of 21.7% compared to Q2 2020. Total revenue, which includes services and other revenue was $119.9 million, or an increase of 21.7 % compared to Q2 2020. Our recurring software license rate, which is the percentage of software product billings that are recurring, continues to be strong at approximately 92% year-to-date. As a reminder, a significant portion of our revenues are built in currencies other than the U.S. dollars and are therefore impacted by changes in FX rates. Relative to Q2 2020, our revenues were favorably impacted by changes in FX rates of approximately $3.7 million during the quarter. Non-GAAP gross margin, which excludes stock-based compensation and restructuring expense was 74.5% in the second quarter, relatively flat to the second quarter of 2020 as our software revenue mix which carries higher gross margin was consistent with the prior year. Software revenue was 83% of total revenue in both Q2 2021 and the year-ago period. This is in line with our expectations for the quarter as we expected this year rebound in services and other revenue in Q2 2021 compared to Q2 2020 keeping pace with the gains we saw in software product revenue. Over the long-term, we continue to expect a general mix shift toward software product revenue as growth there will outpace services and other revenue. Non-GAAP operating expenses, which exclude stock-based compensation, amortization of intangible assets, and restructuring charges were $80.9 million compared to $69.5 million in the year-ago period. As a reminder, operating expenses in Q2 and Q3 of last year were impacted by COVID-19 as a result of temporary salary reductions and significantly reduced marketing and travel costs. In Q2 2021, we saw increased marketing and travel activities representing some return to normal compared to the prior year, and overall non-GAAP operating expenses were in line with our expectations. Adjusted EBITDA was $9.5 million or 7.9% of total revenue in Q2 2021, an increase of 65.2% compared to Q2 2020. This increase compared to the prior-year quarter as well as relative to our expectations was driven by the increase in revenue in the quarter combined with our disciplined spending. We are executing on our strategy of expanding EBITDA margins by scaling into our topline revenue growth and the second quarter was another positive step in that direction. Turning to our balance sheet. We ended the quarter with $260 million in cash and cash equivalents, an increase of almost $17 million from the prior quarter. The quarter-over-quarter increase reflects strong free cash flow during the quarter of $15.8 million compared to free cash flow of $4.5 million in Q2 2020. As a reminder, our cash flows throughout the year are seasonal in nature typically with Q1 being our most significant cash flow quarter followed by Q2. We are very pleased with our cash flow generation in Q2, which was driven by collections on strong Q1 and Q2 billings. Turning to guidance for Q3 and full-year 2021. For Q3 and full-year 2021, we are looking to continue building on the great momentum from the first half. We are expecting software product revenue for Q3 in the range of $94 million to $97 million or year-over-year growth of 7.1% to 10.5%, and we are raising our full-year 2021 software product revenue range to $434 million to $440 million or year-over-year growth of 10.8% to 12.3%. We continue to expect services and other revenue to be approximately flat in 2021 compared to 2020 consistent with our previous guidance. As a result, we expect total revenue for Q3 2021 in the range of $112 million to $115 million or year-over-year growth of 5.2% to 8.0%, and we are raising our full-year 2021 total revenue guidance to a range of $512 million to $518 million or year-over-year growth of 9% to 10.2% reflecting our increased software revenue guidance. The $7 million increase at the midpoint on the full-year revenue guidance from last quarter reflects our overachievement in Q2 2021, while maintaining our view for the second half of 2021. Overall, we’re encouraged by our customer demand and pipeline of opportunities we see in the second half. From a cost perspective, we’ve been successful in our disciplined approach to spending and expect to continue that approach in the second half. That said, we will continue to invest heavily in product development and we expect to increase marketing and sales-related travel expenses in the second half compared to the first half of 2021. For Q3 2021, we expect adjusted EBITDA in the range of $2 million to $4 million or 1.8% to 3.5% of total revenue compared to $8.2 million or 7.7% of total revenue in the year-ago period. And for full year 2021, we are raising our adjusted EBITDA range to $63 million to $68 million or 12.3% to 13.1% of total revenue compared to $57.3 million or 12.2% of total revenue in 2020. We are also raising our full-year 2021 free cash flow guidance to a range of $34 million to $39 million. As a reminder, our cash flow expectations are sensitive to billings and collection patterns, which fluctuate seasonally. In particular, our historical pattern has shown free cash inflow in the first half of the year primarily from collections on billings from Q4 and Q1, and a smaller free cash outflow in the second half of the year. We’re expecting that pattern to continue in 2021. We’ve provided detailed guidance tables in our earnings press release including reconciliations to comparable GAAP amounts, which was issued after close of market today. This was another great quarter for Altair. We’re executing on our mission to transform enterprise decision-making by offering products and technology that delight our customers. With that, we’d be happy to take your questions. Operator?
Operator: [Operator Instructions] Our first question or comment comes from the line of Bhavan Suri from William Blair. Your line is open.
Bhavan Suri: Hey, Jim. Thanks for taking my question and congrats on the great software growth numbers and nice things to be done there. I guess my question for maybe both of you. I’d love to get an update on the adoption for the migration within the current installed base toward your updated Units model, sort of any use case you could point around strong upsell or toward the lower cheered suite to be target the less technical design injure and love to get some sort of some color on how those are playing out?
Jim Scapa: Bhavan, nice to hear your voice. I have to confess, I didn’t quite hear the question. I’m really sorry.
Bhavan Suri: That’s okay, was just the update. You’ve got the sort of new updated Units model, how is that playing out within the current installed base? And then any sort of early use case you might point out to sort of how that lower cheered suites are starting to target the less technical using? How that attraction and how the pipeline, how customers do?
Jim Scapa: Yes. So I mean I think in general the customers – it’s producing conversations with all of our enterprise customers, which are mostly good conversations, basically getting the customers to understand what they have, what the value is that they have and it’s generally translating into more revenue frankly. At the lower end, it’s still a bit early, but I think it’s also being well received and customers are – they’re appreciative of the flexibility that they’re seeing. So I think it’s, you see our numbers, our growth numbers and I think it’s just reflected there.
Matt Brown: Yes, Bhavan, maybe one thing I’ll add to is at this point roughly three quarters of our customers are now on Altair Units and based on that trajectory we expect that over the next quarter so the rest of those will split over. So still very smooth on the conversion and everything is going according to plan.
Jim Scapa: And I think in my prepared remarks talked about how the data analytics customers are embracing it as well. And most importantly, I know this may sound crazy, but the sales guys on the data analytics side are embracing it too, which was not the case two years ago. So, really big changes.
Bhavan Suri: Yes, I know those are all really, really good signs. Certainly, we feel and breaking the model and the customers sort of in that sort of transition is great to hear. The other thing, Jim, we’ve been hearing from auto manufacturers even like the suppliers like Continental or something is an evidence really focus on EV, so no surprise there. But most of them are long-term target, right, people think in 2030 or beyond. And, but to me that requires positioning and planning and designing today from a simulation perspective and I like to understand like, are you seeing that and is that actually is going to be a driver of revenue growth? Is it going to go to today’s perspective, but how material is that whole shift toward EV that the suppliers, the parts guys, and the OEMs are going to look? I love getting a little color on that.
Jim Scapa: Thank you. And I think it’s very material. And if you look at our growth automotive is pretty robust for the first half of the year and I think it’s because all these companies are investing so much. So we always talk about automotive as a large percentage of our business, but it also was quite robust growth in the first half of the year even on top of that large amount of volume.
Bhavan Suri: Got it, got it. Thanks, Jim. Thank you, Matt and again, great numbers. Thank you.
Jim Scapa: Thank you.
Matt Brown: Thank you.
Operator: Thank you. Our next question or comment comes from the line of Jackson Ader from JP Morgan. Your line is open.
Jackson Ader: Great. Thanks for taking my questions guys. Just curious when you talk about the AEC customer pretty big global designs and typically we don’t think it’s designing an AEC being really Altair’s bread and butter, you just mentioned automotive and maybe more complex simulations being your typical strength. So I’m just curious what led to this particular win and was this win part of a sweet deal like an AEC suite that you design?
Jim Scapa: So until now there is no AEC suite, but it may surprise you to know that we have a lot of AEC customers. Most of the famous architectural engineering companies, I could name some, but I’m not sure I should at this moment, are customers of Altair. They were initially introduced through the optimization technology that we bring many of the most beautiful elegant complex tall towers are designed using our technology using the structural optimization and just simply the structural analysis tools. But we do see a lot of opportunity in AEC and we’ve created some solutions for them. I’ve had somebody on my team, his PhD is in architectural engineering for probably 15 years now, and he’s been guiding us and pushing us to do more and more in that direction. And so we work with a lot of really key customers there. So it’s not just sort of a Bluebird that came in this, this is something that we’ve consistently been going after.
Jackson Ader: Okay. And then a follow-up, looking at the non-software revenue for the rest of the year what are the types of impact given that that’s mostly services and people possibly having to travel and what type of impact are you forecasting for the Delta variant in that non-software revenue for the rest of the year.
Jim Scapa: What’s the impact from the Delta Variant, I see. Yes, so…
Jackson Ader: Just for sure like how much are you – what do you actually factor in it if anything?
Jim Scapa: Yes, no, that’s fair. For sure last year we saw a large drop in services revenue, which came with the impact of the pandemic and all that. This year, not the case, we’re seeing some come back in that business. You can see that in the numbers probably. And I would expect that that’s going to continue for the rest of this year. So it’s still below where we were, like in 2019, but above where we were in 2020 and I think that’s going to remain consistent actually. The staffing business, the CES business is impacted not so much by that is just the fact that there is a lot of hiring going on everywhere, there is a big battle for people and that it’s more than anything, that’s the challenge in that business to keep that business growing, just a lot of challenges for quality people.
Jackson Ader: Okay, all right, thank you.
Jim Scapa: Yes.
Operator: Thank you. Our next question or comment comes from the line of Ahmad Khalil from Guggenheim Securities. Your line is open. Mr. Khalil, you may need to unmute your phone.
Ahmad Khalil: Hey guys sorry about that. Thanks for taking my question. So really interesting comments around the data analytics business and probably the competitors you guys are speaking about they mentioned they’re seeing prolonging churn on their sales employee base. I was wondering if that’s something you guys are benefiting from in regards to your own hiring and recruiting efforts?
Jim Scapa: I mean I don’t think I want to speak specifically about any one company, but I think our business seems to be relatively healthy and I think businesses spiral up and spiral down and they might be, they probably hit, some of these companies have hit a rough spot and sales guys have a tendency to run a little quickly when they see that kind of situation. I can’t really speak to what they’re doing, we’re certainly recruiting in a lot of different places.
Ahmad Khalil: And then just one follow-up. And then can you describe some of the – I guess what’s driving some of the success you’re seeing in different verticals outside of your core verticals. Is it something you’ve changed with higher structuring of sales organization or is there something more broadly, you’re doing? And that will be it. Thank you.
Jim Scapa: Sure. No. Thank you. I mean, we’ve talked a lot about sort of mechanizing our sales machine if you will and the whole sales motion I think has upgraded sales and marketing motion in Altair and I think we’re benefiting from that. I think we’re benefiting from a lot more training and structure of the sales team. And in general, the sales team is selling the entire portfolio as opposed to maybe a tendency earlier to sell specific products or solutions and I think that’s really a key differentiator now for us.
Operator: Thank you. Our next question or comment comes from the line of Gal Munda from Berenberg. Your line is open.
Gal Munda: Hey, thanks for taking my questions. The first one would just be around the solid performance in Q2. And maybe if you could just help us understand by product area, how those have performed, maybe not by nominal values for more kind of descriptive, if you had to kind of stack rank between the core simulation versus the data analytics space versus the high-performance computing, the way you kind of thinking about the growth when you talk at the Investor Day?
Jim Scapa: Yes. I mean the numbers across simulation, actually the numbers across HPC simulation and data analytics are all pretty robust actually so far first half of the year. And we’re feeling, we’re feeling really positive, kind of running on all cylinders. I mean there is a reality for all of us that the Q2 last year was a little bit of a weaker year. But if you look across all of H1, I think we’ve really been running pretty strong. And we’re feeling very, very positive about pipelines and all that. So yes, I think all the products are hitting it very nicely. The electronics products are really coming into their own. It’s a little early for us promoting the CFD technologies, but we’re starting to feel good about our offering there and some of these tools are starting to mature. We had some evaluations from some of the top automotive companies in Asia telling us that our solutions are more accurate than some of the more established tools. But we’re generally seeing a pretty broad based success here.
Gal Munda: That’s very helpful. And then maybe as a follow-up. We talked about SimSolid a little bit over the last few quarters you’ve started highlighting it and I was just wondering if you think about the SimSolid scales – way today is it’s front, at what stage do you think it actually becomes a material contributor to the growth of the business. I know it’s still relatively small in terms of the dollar value. But as you see adoption you mentioned the German OEM testing at the couple of last quarter. I think it was and hardly how, maybe one, hardly contract kind of that’s been progressing and then two, at what till age is becoming material to the growth of the business?
Jim Scapa: I think SimSolid is already material to the growth of the business, Gal. I mean it’s – I haven’t looked recently at the number of companies that are using it, but it’s substantial. I don’t know if it’s – I don’t know what the number is, but it is very substantial. And we are seeing very high usage numbers for SimSolid. So it’s already contributing meaningfully for sure.
Gal Munda: Okay, that’s very helpful. Thanks, Jim.
Jim Scapa: Thank you, Gal.
Operator: Thank you. Our next question or comment comes from the line of Matt Hedberg from RBC Capital Markets. Your line is open.
Dan Bergstrom: Hey, it’s Dan Bergstrom for Matt Hedberg. Thanks for taking our questions. So just curious did you talk to the deal pipeline for the remainder of 2021 here? It seems like the last several quarters speak to its strength with deals coming out of this quarter into the first quarter and then this quarter and nice upside. So how is the pipeline looking over the second half?
Jim Scapa: You want to answer this one, Matt?
Matt Brown: Yes. I think the pipeline is we’re feeling pretty good about it. And if you kind of, if you go back to beginning of the year guide where we had guided total revenue at the midpoint of 506 and then took that up last quarter a bit and now took it up 508, now we moved it from 508 to 515. At the midpoint, that really speaks to the confidence that we have, as we’ve moved through the year. And we’ve had, like you mentioned, we’ve had really good success in the first half and we feel good about the second half. We continue to be reaffirmed in our outlook and as we go throughout the year, we continue to build on the successes. So pipeline looks good and we feel confident. And we’re of course keeping our eye on Delta variant spikes and larger macroeconomic like everybody is, but at this point going cautiously optimistic about the second half.
Dan Bergstrom: Great, thanks.
Operator: Thank you. Our next question or comment comes from the line of Mark Schappel from Benchmark. Your line is open.
Mark Schappel: Hi, good evening. Nice job on the quarter. Thank you for taking my question. Jim, I’d like to take a little bit deeper into your expanded CFD capabilities that were referred to in your prepared remarks. Is your intent to focus your CFD sales efforts in your core kind of customer base principally automotive and aerospace? Or do you plan to drive that more toward toward process industries such as say chemicals or oil and gas?
Jim Scapa: It’s probably more in the traditional core market, but it’s really across everything. So CFD’s not like structures, CFD has a variety of different problems and you solve and you have a variety of different types of technologies, if you will, to solve them best and so we really have spent years pulling together what we think is a solution set that can solve all these different problems and we also have to build all the modeling and visualization elements that go along with that. So we’re – some parts of that solution set are less mature for external aerodynamics we’re still working on it, but it’s coming really fast. And we have a lot of customers very excited about it, for some other areas it’s more mature than that. So I mean its broad based for us, we’re selling CFD to every customer, but we see it going especially into the core.
Mark Schappel: Great, thank you. And then just building on the earlier question on SimSolid, how much of SimSolid do you see being sold for use cases and upfront design rather than say more traditional engineering simulation use cases?
Jim Scapa: The vast majority of how SimSolid is used is more for the upfront design for sure and that is how we’ve targeted. That’s how we’ve – that’s where the solutions sweet spot is, if you will, for the more traditional stuff construct into some extent Radioss are really the go to solutions there.
Mark Schappel: Thank you.
Jim Scapa: Sure. Thank you.
Operator: Thank you. [Operator Instructions] Our next question or comment comes from the line of Blair Abernethy from Rosenblatt Securities. Your line is open.
Blair Abernethy: Thank you. Nice quarter, guys, Just wondering, Jim, if you can give us a little color into how things are going with SmartWorks, I realize it’s only been a short period of time that is you’ve kind of been in the market with it. But I just want to understand sort of how you’re taking it to market and where you’re seeing some traction in that product?
Jim Scapa: Yes. So SmartWorks sort of has two halves to it right now. They’re all it is coming together. So there’s sort of a SmartWorks IoT and then the SmartWorks Analytics. The analytics is – they’re both relatively new and they’re both coming together. But both of them have some lead customers. We’re getting a lot of really, really good feedback on SmartWorks analytics now seems to be very, very positive. And I think we’re really focused on developing the solutions that customers are telling us that we need to add. The IoT pieces has got a lot of interest. But I’d say it’s a little bit earlier for getting a lot of traction at this point. We do have customers who we’re using it, integrating it, but I would say it’s still early. These are horizon three things to me.
Blair Abernethy: Yes, yes. And on the analytics side, any particular sort of verticals, any particular verticals that you say are kind of more interested in it or just kind of where are you seeing that interest without any main business?
Jim Scapa: It’s mostly in the traditional core customers that we have for analytics, which is more BFSI, but we are certainly engaging with customers on the engineering side as well.
Blair Abernethy: Okay, great. Thank you.
Jim Scapa: Sure.
Operator: Thank you. I’m showing no additional questions in the queue at this time. I’d like to turn the conference back over to management for any closing comments.
Jim Scapa: Okay. Yes, thanks to everybody for your interest. I appreciate you all tuning in and thanks to my team for another great quarter. We’re having a lot of fun here on Altair as we’re hitting these big growth numbers. So thanks. Thank you all.
Matt Brown: Thanks everybody.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.